Operator: Welcome to the 2018 Q1 Earnings Conference Call. My name is Adrian, and I'll be your operator for today's call. At this time all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. I'll now turn the call over to Lauren Pendergraft, Investor Relations Manager. Lauren Pendergraft, you may begin.
Lauren Pendergraft: Thank you, Adrian. Good morning, everyone, and welcome to Avista's First Quarter 2018 Earnings Conference Call. Our earnings and our first quarter 10-Q were released premarket this morning, and they are both available on our website at avistacorp.com. Joining me this morning are Avista Corp. Chairman of the Board and CEO, Scott Morris; Senior Vice President and CFO, Mark Thies; Avista Corp. President, Dennis Vermillion; Vice President, and Chief Customer Officer, Kevin Christie; and Vice President and Controller, Ryan Krasselt. I would like to remind everyone that some of the statements that will be made today are forward-looking statements that involve assumptions, risks and uncertainties, which are subject to change. For reference to the various factors which could cause actual results to differ materially from those discussed in today's call, please refer to our 10-K for 2017, and 10-Q for the first quarter of 2018, which are available on our website. To begin this presentation, I would like to recap the financial results presented in today's press release. Our consolidated earnings for the first quarter of 2018 were $0.83 per diluted share compared to $0.96 for the first quarter of 2017. Now I'll turn the discussion over to Scott.
Scott Morris: Well, thank you, Lauren. And good morning, everyone. We had a good first quarter, Avista Utilities earnings benefited from lower resource costs, customer growth and lower than expected operating expenses. The lower natural gas fuel prices were positive as they allowed us to pass on lower natural gas costs to our customers during the winter heating season. With regards to regulatory matters, last week we received an order from the Washington Commission that concluded our 2017 electric and natural gas general rate cases. The commission's order allowed us the opportunity to earn a fair return in 2018. We're also pleased to be able to return benefits of about $32 million resulting from federal tax cuts to our customers. In Idaho, we recently filed a settlement agreement related to federal tax cuts where we agreed to pass back over $16 million to our customers. During 2018, we've made significant progress in Hydro One transaction - in the Hydro One transaction and we are continuing to work through the approval processes. We've been able to reach settlement agreements in Washington, Idaho and Alaska, which are now pending before the state commissions. We believe that we will be able to work with the commissions, their staff and other parties to receive the required approvals and we anticipate the transaction closing during the second half of 2018. Turning back to earnings, AEL&P had a good first quarter, with earnings that were slightly above our expectations. At our other businesses, we had a net loss during the quarter due to an impairment on an investment, unanticipated losses on our equity investments and increased expenses associated with the renovation. We're initiating our 2018 earnings guidance with a consolidated range of a $1.90 to $2.10 per diluted share, excluding acquisition costs. Mark will provide further details during his commentary, so I'll turn it over to Mark.
Mark Thies: Thank you, Scott. Good morning, everyone. With my normal laudatory hockey comment we are now rooting for Tyler Johnson in the Tampa Bay Lightning, as Tyler Johnson is from Spokane. So we're hoping they go. For the first quarter of 2018 Avista Utilities contributed $0.84 per diluted share compared to $0.90 in 2017 and the decrease in earnings for the quarter was due to increased O&M expenses and depreciation expense. Depreciation expense was largely due to continuing to invest the necessary capital in our utility infrastructure. And we continue to expect that Avista Utilities capital expenditures will total about $405 million in 2018. Turning to liquidity, in 2018 we expect to issue $375 million of long-term debt and up to $85 million of equity. And what we're using those proceeds for to refinance maturing long-term debt, fund planned capital expenditures and maintain an appropriate capital structure. For the $85 million of equity, we expect to get that either through the sale of shares through our sale agency agreement or more likely through an equity contribution from Hydro One upon the consummation of the transaction. As Scott mentioned earlier, we are initiating our 2018 earnings guidance with the consolidated range of a $1.90 to $2.10 per diluted share, excluding acquisition costs. We expect acquisition cost to be in a range of $0.80 to $0.85 per diluted share for 2018. We expect Avista Utilities to contribute in the range of a $1.89 to $2.03 per diluted share for '18, again excluding acquisition costs. The midpoint of our Avista Utilities guidance range does not include any expense or benefit under the energy recovery mechanism. Our current expectation for the ERM is a benefit position within the 90% customer, 10% company sharing ban [ph] which is expected to add approximately $0.07 per diluted share. Our outlook for Avista Utilities assumes among other variables normal precipitation and temperature, but above normal hydroelectric generation for the remainder of the year. For 2018 we expect AEL&P to contribute in the range of $0.10 to $0.14 per diluted share and our outlook for AEL&P assumes - or they among other variables normal precipitation and hydroelectric generation for the remainder of the year. We expect our other businesses to be between a loss of $0.09 and a loss of $0.07 per diluted share, which includes the costs associated with exploring strategic opportunities. This is higher than in the past, but as you saw in the first quarter we did have approximately $0.07 of loss in the first quarter related to an impairment and some other costs in those other businesses. Our guidance generally includes only normal operating conditions, does not include unusual items such as settlement transactions or acquisitions and dispositions until the effects of such are norm. I will now turn the call back to Lauren.
Lauren Pendergraft: Thank you, Mark. Adrian, we'd like to open up the call for questions now.
Operator: Thank you. [Operator Instructions] And we have no questions at the present time. I'll now turn the call back over to Lauren for final remarks.
 :
 :
Lauren Pendergraft: I want to thank everyone for joining us today. We certainly appreciate your interest in our company and hope you have a great day.